Operator: Good morning, and welcome to the CyrusOne LLC Third Quarter 2021 Earnings Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Michael Schafer, SVP of Finance. Please go ahead.
Michael Schafer: Thank you, Anthony. Good morning, everyone, and welcome to CyrusOne's Third Quarter 2021 Earnings Call. Today, I'm joined by Dave Ferdman, Interim President and CEO; Katherine Motlagh, CFO; and John Hatem, COO. Before we begin, I would like to remind you that our third quarter earnings release, along with the third quarter financial tables, are available on the Investor Relations section of our website at cyrusone.com. I would also like to remind you that comments made on today's call and some of the responses to your questions deal with forward-looking statements related to CyrusOne and are subject to risks and uncertainties. Factors that may cause our actual results to differ from expectations are detailed in the company's filings with the SEC, which you may access on the SEC's website or on cyrusone.com. We undertake no obligation to revise these statements following the date of this conference call, except as required by law. In addition, some of the company's remarks this morning contain non-GAAP financial measures. You can find reconciliations of those measures to the most comparable GAAP measures in the earnings release, which is posted on the Investors section of the company's website. I would now like to turn the call over to our President and CEO, Dave Ferdman.
David Ferdman: Thank you, Michael, and welcome to CyrusOne's third quarter earnings call. We have a number of positive things to discuss today, and we will move to the quarterly results and provide an update on guidance shortly. But I want to start with 2 key points: First, we delivered great results this quarter with strong financial and leasing performance, including a significant bookings contribution from Europe and healthy pricing across the deals. We - I having been in the seat for 3 months and had an opportunity to meet with many of our stakeholders, I can now say I'm even more excited about the outlook for this business than I was on our first call. Over the last 3 months, I visited many of our markets, and I'm really impressed with this team. Their passion and commitment are second to none, and their willingness to jump through hoops to make customers happy is simply part of their DNA. Secondly, I want to directly acknowledge and address the recent speculation regarding the company. I am not going to comment on any market rumor. What I will say is that we are open-minded to all avenues and alternatives to maximizing our shareholder value. Our Board and management team are committed to this. Our assessment of the best way to maximize value is to keep our shareholders' interest as our top priority. This is our guiding principle. In any case, we have to continue to execute. The strong results we posted this quarter show that we are focused on and succeeding in doing just that. Beginning with Slide 4, you can see our key financial metrics for the quarter, which Katherine will discuss. We signed 20 megawatts totaling approximately $38 million in annual GAAP revenue. As of the end of the quarter, our revenue backlog totaled approximately $106 million, positioning us well for growth next year and beyond. Turning to Slide 5. We brought 38 megawatts online during the quarter, most of which is leased capacity in the U.S. Our development pipeline as of the end of September consisted of 49 megawatts across London, Frankfurt and Northern Virginia. We also acquired parcels of land in Frankfurt and San Antonio, each with estimated power capacity of 21 megawatts. Our balance sheet remains strong, and we had more than $2 billion in available liquidity as of the end of the quarter to fund our growth. Moving to Slide 6. Annualized GAAP revenue signed during the quarter was 10% higher than the prior 4-quarter average. MRR per kW signed was nearly $160, reflecting strong relative pricing on hyperscale deals in Europe and good enterprise demand in the U.S. The long weighted average lease term of 9 years is in line with the average lease term for deals signed over the prior 3 quarters, extending the maturity profile of our portfolio. As the pie chart at the bottom of the slide shows, 55% of rent is from hyperscale customers. And we expect that percentage to continue to increase over time given the significant growth in their footprints in both the U.S. and Europe. Moving to Slide 7. Our European markets continue to perform very well, accounting for $27 million in annualized GAAP revenue signed in the third quarter and $53 million through the first 3 quarters of the year, representing nearly half of our total year-to-date leasing. The site acquisition in Frankfurt gives us additional runway for growth in our strongest European market to accommodate demand from our hyperscale customers as they continue to scale. Taking into account the development projects underway in Frankfurt and London, we have a near-term European footprint of nearly 220 megawatts, which represents over 20% of the company's near-term footprint. Turning to Slide 8. Global supply chain concerns have been dominating the headlines in recent months. We continue to actively manage our supply chain and have not experienced any significant near-term headwinds. As we have discussed before, we have a robust and flexible supply chain that is designed to mitigate a lot of this risk. Our key vendors hold inventory until we need it, and we have forward purchase contracts on long lead time items with fixed rates to help protect against near-term pricing pressure. We have long-term relationships with key suppliers and we benefit from having a standardized design. That standardization, combined with the significant development that we have across the portfolio, allows us to purchase at scale and achieve better pricing. We also have resiliency built through the supply chain with key components dual sourced. Our internal teams are tightly integrated and work closely together to ensure accurate capacity planning and the ability to deliver our product when and where it is needed to meet demand from our customers. Overall, business has been minimally impacted by the broader inflation and supply chain disruption issues, and we are well positioned heading into next year. In closing, the outlook for the industry remains strong, and the team is working hard to ensure we are positioned to capitalize on opportunities in front of us and focused on maximizing shareholder value. We continue to see robust demand, and we're having productive discussions with our customers. And we have capacity across our markets as well as liquidity to fund our growth. With that, Katherine will now provide more color on our financial performance for the quarter and an update on our guidance for the year. Katherine?
Katherine Motlagh: Thank you, Dave. Good morning, everyone. Continuing with Slide 10. Revenue, excluding the impact of metered power reimbursements grew approximately 11%, with similar year-over-year increase in NOI and slightly better growth in adjusted EBITDA at 13%. The adjusted EBITDA margin, excluding the impact of metered power reimbursements, was up approximately 120 basis points, driven by the contribution of lease commencements in Europe as well as relatively flat SG&A expense compared to the same period in 2020. Rent churn for the third quarter was at the lowest level we have seen in years at 0.5% as we have been able to delay some rent churn and proactively work with our customers. We are decreasing the upper end of our full year guidance range from 6% to 5%. The revised churn range is now 4% to 5%, and we are currently trending towards the lower end of that range. The like-for-like renewal population continues to be relatively small per quarter, and the weighted average rate on these renewals was up 1% on a GAAP basis and down 3% on a cash basis. The spreads were positively impacted by the pushout of the rent churn that I just mentioned. Turning to Slide 11. The revenue contribution from our European markets has increased to approximately 17%. That's up from 11% as of the beginning of the year. We expect this contribution to continue to increase over the time given the profile of commencements and strong demand trends across these markets, and we are focused on ensuring that we have the capacity to meet our customers' future needs. During the quarter, we brought online the first phase of our fully leased data center in Paris, further diversifying the portfolio geographically with revenue now across 5 European markets. Moving to Slide 12. We have 211,000 colocation square feet and 49 megawatts under development across U.S. and Europe, including 43 megawatts in London and Frankfurt, our 2 strongest European markets. The development pipeline continues to be mostly pre-leased with 82% of square footage contractually committed to customers. And we remain focused on closely aligning development spend with signed leases. We also have nearly 470,000 square feet of powered shell under construction in Northern Virginia, San Antonio and London, giving us the ability to deliver capacity quickly in response to increasing demand across these key markets. Upon completion of the projects in the pipeline, we will have 1,000 megawatts of power capacity, up 22% from a year ago. Turning to Slide 13. As of the end of the quarter, we had more than $2 billion of available liquidity to fund our growth, including $303 million in available forward equity. Our leverage as of the end of the quarter was 5.5x, at the lower end of our targeted range. Moving to Slide 14. Our backlog remains high at $106 million. The decrease from the second quarter is the result of significant lease commencements during the third quarter. Of the nearly $71 million in annualized revenue expected to commence in the third quarter of 2022 and beyond, we anticipate approximately $37 million will begin in the second half of 2022, weighted towards the end of the year. Turning to Slide 15. We are raising our 2021 guidance. We are increasing the lower end of our guidance range for base revenue by $10 million, resulting in a $5 million increase in the midpoint. This is primarily driven by a more favorable full year churn outlook, including the timing of the impact I mentioned earlier, as well as accelerated commencements compared to our prior outlook. Additionally, we are increasing both the lower and upper end of our guidance range for metered power reimbursements by $15 million as a result of higher usage across our markets. We are increasing the lower end of our adjusted EBITDA guidance range by $10 million, resulting in a $5 million increase in the midpoint. This is driven by the increase in base revenue and slightly lower anticipated property operating expenses. Finally, we are increasing both the lower and upper end of our normalized FFO per share guidance range with the midpoint increasing by $0.055. The increase in the midpoint is primarily driven by the increase in adjusted EBITDA guidance midpoint and slightly lower-than-anticipated interest expense. And we are also narrowing our CapEx guidance range and maintaining the midpoint at $925 million. In closing, as we head into the last couple of months of this year, we're excited about the outlook for the business, and we remain focused on execution of our plans and positioning the company for continued growth in 2022 and beyond. We appreciate you participating in our call. We're now ready to take questions. Thank you. And operator, please open the line.
Operator: [Operator Instructions]. Our first question comes from Jon Atkin with RBC Capital Markets.
Jonathan Atkin: I was wondering if you can maybe update us on how the CEO search is going?
David Ferdman: You bet, Jon. So it's an ongoing process. And the Board is looking at all and exploring all opportunities available to the Board. I am focused on execution, making sure the business performs, and the process is ongoing.
Jonathan Atkin: Got it. And then I wondered if you could then talk a little bit about inflation that's driving up, presumably, development CapEx per megawatt, which is something I think the industry is seeing. And any implications that you think that will have on pricing on new hyperscale commitments going forward?
Katherine Motlagh: Jon, it's Katherine. Let me take that one. So we work very closely with our vendors and suppliers, and our procurement is globally optimized between Europe and U.S. And so the relationships that we have are usually on a fixed base contracts forward. We ensure that we have the procurement and the capacity with our vendors for our development pipeline as we go forward. So far, we have not seen inflationary - material inflationary pressures on our supply chain as well as on our construction costs. But I think we're working with the customers. And as contracts come up for renewal, we'll manage it through our efficiencies and forward-looking contracts.
Jonathan Atkin: And then finally, Europe was a strong quarter. I think you talked about $27 million. Was that - how evenly distributed was that across 1 or 2 large signings? Or can you maybe give us - maybe a way to ask the question is, what would be the magnitude of the largest lease or 2 largest leases that you signed in the quarter?
Katherine Motlagh: Yes. So we don't speak about individual leases or individual customers. But I would say it's heavily focused on hyperscaler customers as European region is our hyperscale region as with our existing customers, and it's fairly large deployment.
David Ferdman: I mean, Jon, I'll add to that. In year-to-date, we have 72% of our bookings are from hyperscale. Compared that with 2 years ago, where we had 48%. So definitely trending towards long hyperscale contracts.
Operator: Our next question comes from Richard Choe with JPMorgan.
Richard Choe: A quick follow-up to the CEO search. Can you give us any update on timing or expectations around timing?
David Ferdman: It's an ongoing process, Richard. And unfortunately, I just don't have any expectations I can set on timing.
Richard Choe: And then to follow up on your another strong quarter, in terms of the volatility in energy, are you seeing customers shift any demand or expectations, whether it's market or region for you?
David Ferdman: We're seeing strong demand across all of our markets. And if you look at our first quarter bookings, it was 95% in the U.S. And if you look at our third quarter bookings, it was 71% in Europe. And so we see demand all over the market. We can't, as we all know, control timing. But because of the distributed platform that we have and as the platform continues to grow, we're certainly taking some of the lumpiness out of the business.
Katherine Motlagh: And Richard, so when you think about the pressure on energy, most of our customers are on a path through metered power. In Europe, it's the majority, it's hyperscale customers. We do see an increase in metered power reimbursements. We do not see that impacting their decisions on where they need capacity.
Operator: The next question comes from Aryeh Klein with BMO Capital Markets.
Aryeh Klein: Just following up on hyperscale. It looks like in the U.S., nothing was leased for hyperscale. I think the rest was enterprise. And last quarter, it's pretty light, too. So obviously lumpy, but maybe you can provide a little more color on what you're seeing in those markets, the U.S. markets.
David Ferdman: Yes. Look, it's always been lumpy. We have strong demand across the - all the hyperscalers in the U.S. So we don't see any of that relenting. So it's still lumpy, but we're still confident that our footprint in the U.S. is very attractive to the hyperscalers.
Katherine Motlagh: And I would say we have very healthy conversations with our customers in the U.S. They just don't run their business on a quarterly basis or a monthly basis. So we work with them on the long-term relationships.
Aryeh Klein: Got it. And then on the faster commencements you noted, is there anything specific that's driving it? And is that a trend that may continue?
Katherine Motlagh: I would say it's a complement to our operations team, so that's what's driving the faster commencements.
John Hatem: Thanks, Katherine. Now Aryeh, on that, I mean, listen, the team is always focused on delivering as early as possible, right? So we work with our customers and get them installed as quickly as we can. It's always been the focus of the company and it continues even in the environment we are today.
Aryeh Klein: Got it. And then just maybe one last one on the CEO search. Obviously, not saying a lot here today. But given your earlier comments about keeping an open mind and shareholders' interest in mind, how do you balance that with the CEO search? Can that - those run concurrently?
David Ferdman: I don't understand the question.
Aryeh Klein: If you were for sale, does that make it difficult to add - more difficult to hire a new CEO while running a potential process?
David Ferdman: We just don't comment on any market rumors or how they correlate to anything in the business.
Operator: Our next question comes from Simon Flannery with Morgan Stanley.
Simon Flannery: Great. So I wonder, Katherine, if you just elaborate a little bit more on your comment on the backlog timing in the second half of next year. Is there something new going on there about people taking down a longer lease time on some of these deals? How should we think about that? And then there was a report that you're looking to outsource your facilities management in the U.S. to JLL. I wonder if you could comment on that.
Katherine Motlagh: Yes. So let me start with the backlog. We - normally, our backlog is focused on kind of 9 to 12 months' time line. So we don't see any new developments or extended lead times. What you do have in that backlog, remember our Paris multiyear deployment that kind of skews the backlog towards the longer time of it. But without that, it is usually deployments are heavier focused towards the end of the year rather than the beginning of the year. It's just how the timing works. So I don't see any extension of the lead times. I think the backlog is healthy. It decreased, as I mentioned in my prepared remarks, because we did accelerate some of the commencement. So that's - again, that's the timing. So we feel good about our backlog, and we're well positioned going into the future. In terms of operational, how we run our business, we work with all of our vendors. When the contracts come up for renewal, we negotiate with the vendors. It's a normal process of the business, so there is not really any comments to add to that.
Operator: Next question comes from Dave Barden with Bank of America.
David Barden: So I guess the first question I have would be if, Katherine, maybe you could just give us the precise mathematics around energy cost exposure for the business in terms of percentage pass-throughs and - of the remainder, how that will work in terms of hedged, unhedged. And what the potential sensitivity is to the business? And then second, the question we've been getting a lot, as I'm sure you've heard with the, say, the Facebooks of the world massively increasing capital expenditure. The question is, is whether hyperscalers are preparing to make multiyear investments in their own facilities, or whether they're preparing to take significant space incrementally from their lessee vendors. I would love to kind of hear you guys' perspective on which of those 2 things you think it is.
Katherine Motlagh: All right. So let me take the power math. So over 90% of our customers are on a path through metered power reimbursement. So - and then from that, I would say the majority of all-in customers are in U.S. or all of the - our all-in customers are in the U.S. So they've been on a fixed rate, and we haven't seen any material exposure to us from the raising power cost on that. In terms of hedging, our policy is hedge approximately 50% of our purchases. And we pass through our savings as we obtain it to our metered power customers. So hopefully, that answers that.
David Ferdman: And David, I'll take the hyperscale question. We're seeing strong demand from - but I think we've always seen that these hyperscalers do - they do a lot of everything. And so we're seeing them make very, very big investments into our assets. In fact, when a hyperscaler deploys with us, they invest - in addition to what they spend, they invest about $20 million per megawatt on all that goes in, including all the network capacity they bring in, the network core, the dark fiber, all their gear. So these are very, very big investments. And we, of course, work with them as a partner. And so we haven't seen that demand slow down. We don't know how they split it up. They all probably do it differently, but we're seeing strong demand in all of our facilities.
Operator: Our next question comes from Matthew Niknam with Deutsche Bank.
Matthew Niknam: One on churn and then one on margins. First on churn, if you could talk a little bit about what's driving the lower churn. Is this deferral into 2022? And if it is, in fact, deferral into next year, how does that sort of shape the expectation for '22? And then secondly, margins ex pass-throughs, I think, improved by about 120 bps year-on-year. Just wondering if you can maybe give a little more color on what drove the improvements and whether we can sort of extrapolate a similar magnitude of improvement going forward.
Katherine Motlagh: Yes. So Matt, let me take that. On churn, so first of all, as you know, our negotiations with the customer and renewal conversations are ongoing and they're very proactive. And we have been able to delay some of those negotiations and renewal and rate reduction that we've anticipated earlier this year. There is not an exact date that we have agreed with the customers in the future. So when that churn takes place, we'll report on that. It's a little too early to talk about '22. So if you hold that question until we get to our guidance and expectations for the next year, then we'll address that. I'll take a note of that. So - and then...
David Ferdman: I want to add a little color on the churn and renewal picture. We actually had some good surprises this year. We had projected some churn for a couple of enterprise deals that actually renewed for a really healthy and long-term renewal at a 0% reduction in price. We have one in Houston, one of our legacy facilities. We had a bunch of renewals. And I think it's important to understand that our like-for-like renewals are 89% of our renewal population. And the cash roll down, which we talked about earlier was 3%. The gap was actually a 1% - 1.6% bump. And so what we're seeing is customers are still trying to manage their architecture. Some are going to the cloud, some are re-architecting to the private cloud. We're still playing a very large role. Our strategy of the enterprise at scale is having a very, very positive impact. And the renewal rates are certainly better. In fact, we're averaging the enterprise 30% or better above the spot market rate on our renewals. And so I know we had flagged some stuff earlier. Some will be timing, but a lot of it is actually is just - we were very conservative in our projections.
Katherine Motlagh: Yes. So now let me take your margin question. So we are very pleased with our margin performance in the third quarter, and the expansion of 120 basis points is primarily contributed to 2 factors: One is the commencements in Europe, which is basically us growing the business and increasing our scale in Europe. That, as we talked about at our Analyst Day is one of the avenues that we are looking to help expand on our margin 300 basis points by 2025. So it's not necessarily a linear progression, but as we grow our businesses in Europe and run it more efficiently, we expect opportunities for margin expansion there. And the second one is it's a slightly better operating expenses as well as flat SG&A and some savings on SG&A that we experienced in this quarter.
Operator: Our next question comes from Frank Louthan with Raymond James.
Frank Louthan: Great. Can you give us an idea on what exactly you have permitted and power available in Europe? I mean it seems like that's going to be more of a scarcity there. And do you think you'll be able to pick up some incremental business as power availability gets harder to source over there from some of the customers?
Katherine Motlagh: Okay. So let me start and maybe John can complement me. So our existing footprint, we have permitting on and we have available capacity in our existing in Frankfurt and London, and we're starting - and we've got our Paris online, but it's 100% leased. The new land that we secured will still need to be permitted, and we're working through that process, both in the land that we have available in Frankfurt as well as London.
John Hatem: Yes, Frank, it's John. On that - in Europe, it's a 5-, 6-year outlook, right? When we look at the land bank, we look at the power and we look at the permitting because it takes time in these markets. So I mean, it's really not - I really don't want to get into site by site, but I mean that's really the outlook we have for those markets. And we think about that bank, the land bank and power bank in short-, medium- and long-term outlook that takes us well beyond 6 years.
Frank Louthan: All right. Great. And a follow-up question. Looking back to the rent roll downs you're looking at the Analyst Day, to what extent do you think inflation will help mitigate some of that? Do you think that can help improve some of that pricing as you look forward to the rent roll downs that you've got coming? You had a pretty decent rate this quarter. But how do you think about that going forward?
David Ferdman: Yes. Frank, I mean, on the inflation side, I mean, modest inflation, it's healthy for our business. I mean we are a scale player, and I believe it's going to help us in the near term.
Katherine Motlagh: And remember then, when we talked about renewals spreads, we compare that - our rates in the future to current spot rates. So to the extent inflation drives current spot rates stability or increases that, that will help renewals. But we'll see how that works out.
Operator: Our next question comes from Sami Badri with Crédit Suisse.
Ahmed Badri: One of your peers earlier this week talked about how there would be capacity potentially to negotiate higher leasing rates with some of your existing customers as renewals come up. But at the same time, your same peer, and I think you guys, have alluded to relatively fixed costs that go into the builds and the development of new capacity. Now when we look at what happened over the last couple of years, specifically, costs of development have come down with scale and size of developments, and rents have actually come down alongside it. Could you give us just color on - if you are potentially seeing similar types of dynamics that could be a tailwind to rental rates? And then, can you just give us an idea on when your suppliers and vendors may potentially be unable to be pricing equipment at the current rates that they are? Just given that they are absorbing a lot of fixed costs coming in due to rising component input prices and other inflationary factors.
Katherine Motlagh: Yes. So I mean the development is based on a fixed cost. But when you re-lease second-generation space, you do have some savings from the cost structure. However, I think we have not had substantial renewals on that level to talk about really yet.
John Hatem: Yes, Sami, on the development side. So the headwinds, let's say, on inflation and our supply chain, when we think about it holistically, it's offset by the things we talked about on our gen 3 design when we pushed density and we pushed topology and in collaboration with our customers, to keep costs in line, right? And that's really what we're seeing. So it's not a - it doesn't flow through dollar for dollar, right, because there's all these other dynamics that are happening on the build. And the scale, like you mentioned, right, I mean, the scale is a huge help on development cost. So while we are managing the supply chain like we always have, we keep focused on all the levers to maintain our development cost. And if inflation drives spot prices up, I mean that's good for us, right, as Katherine mentioned.
Ahmed Badri: And then maybe just one follow-up to the prior question I asked is, when would your suppliers or vendors look to increase the price lists of their products just given the - I think in your slide, said fixed for 2 to 3 years. Maybe that doesn't apply to everything, but maybe applies to some things. But when would your vendors that are currently absorbing relatively higher input costs, when would they come to you and say, we need to talk about this again regarding what you're paying for what component?
John Hatem: So Sami, it's the same thing on the vendor base a little bit when we think about scale, right? So if we're seeing impacts on unit cost metrics for a generator, let's say, we're looking to those vendors to say, what's the next size generator we could get. What's the next size UPS that we can get, to offset some of that increase with scale at a unit level?
Operator: Our next question comes from Erik Rasmussen with Stifel.
Erik Rasmussen: Maybe just coming back to the churn. Obviously, it's continued to trend lower. And I appreciate, Katherine, you're not going to offer guidance for next year. But just trying to get a sense of sort of the magnitude of how the changes throughout the year, the improvements that you saw, where could we sort of expect maybe the churn to settle. I mean, obviously, a 4% to 5% range doesn't seem a sustainable part. But I know, Dave, you said you were seeing some improvements and some good surprises. So I'm just trying to balance all that with where could potentially churn - what's that normalized range when you take - sort of factor in all the things we talked about on the call.
Katherine Motlagh: Yes. So Erik, there are a couple of things that play into the customer renewal conversations and, in a broader sense, expectations longer term for churn in our business. If you remember, we said at the Analyst Day that multiyear, we still kind of look at that 4% to 6% on the lower end of that range. And as our base business and the revenue base grows, obviously, the churn as a percent kind of tends to decrease in that. We also see the terms of the leases are extending. The leases that we signed today versus the leases that we signed 3, 4 years ago are a lot longer term, which obviously decreases the renewal population as it happens. And so if you were to see the churn at 5% to 7% a couple of years ago, now we're seeing at 4% to 6% on the lower end. I do think at some point, those contracts still come up for renewals. It's the success base of those renewals that we've seen an improvement this year. And how we've been able to renew these contracts because of data gravity, because of customer relationships, because of our track record, really.
Erik Rasmussen: Okay. Great. That's helpful. And then maybe - I know hyperscale, you talked about could be lumpy. But maybe if you could just comment on what you're seeing specifically in Northern Virginia and your opportunities in that market. And maybe just - it's obviously a competitive market, but how do you sort of see that market for you in the coming quarters? Because it's been, sort of, pretty quiet the last few quarters now.
David Ferdman: Yes. Look, opportunity - this is Dave. The opportunity is strong. Pricing has firmed up, and we're really confident about Northern Virginia.
Katherine Motlagh: Yes. And we have capacity there. So we're working with the customers, right? That's just if and when, right? It's not if, it's when. So we'll - we feel good about that region still.
John Hatem: Yes, Erik. We - I think it's in the release with the shell capacity, we're standing up right now. Land bank is big. We've secured power across that market at our sites with both NOVEC and Dominion. So excited and stay tuned.
Operator: Our next question comes from Colby Synesael with Cowen.
Colby Synesael: Dave, I'm surprised, but I appreciate the comments you made to start off the call that you're - or that the Board is open to all considerations. I guess it'd be helpful if you can share any color as it relates to what I see is 2 potentially conflicting views. One is that you may have some shareholders, perhaps activists, that are more motivated to maybe see something happen sooner rather than later. But on the other side, just hearing you speak today about the demand that you're seeing and then going back to what you guys mentioned at your June Analyst Day about looking to sell off some legacy assets, which would obviously take some time. To the extent you're successful with that demand, selling off some of those assets, one can make the argument that the company could be potentially worth significantly more within perhaps a year's time. How does the Board think about those 2 potentially conflicting views? And then secondly, you, as I mentioned already, sound pretty bullish on the demand environment across all markets, both in the U.S. as well as Europe. And perhaps, to some degree, you might be a victim of your own success in terms of just having so much leasing done already. Is there a risk that you guys could find yourself flat-footed in terms of having available capacity in the markets where that demand is to actually sell into? And then just lastly, I think you guys missed Simon's question earlier as it relates to the JLL deal and giving us a little bit color in terms of why that may have been done.
David Ferdman: You bet, Colby. So first of all, we talk to all of our shareholders, right? And we - the only way for us to focus on maximizing value is to execute. We land bank, we get power, we build data centers, we install customers, we take care of them, and that's what we do. We block and we tackle and we'll continue to block and tackle. And when we talked about capital recycling, we talked about portfolio optimization, which is a strategic objective. It's just our strategy going forward is focusing on digital gateway markets, focusing on enterprise at scale and hyperscale. And so all capital recycling would be considered strategic based on our go-forward plan. With respect to capacity, fundamentally, we're seeing strong demand in markets where we see significant data gravity, which is exactly what we planned for when we announced this kind of a digital gateway market, strategic objective on Analyst Day. That's where we're investing. We're investing where there's more and more demand in the markets that we've had great success. And with the demand and with the growth in both the hyperscaler and market and the enterprise at scale, we feel like we're really well positioned, and we're making good investments. And we're certainly not going to deploy a bunch of capital before we have good line of sight to lease it. So we're going to play it safe, we're going to play it smart, but we think right now, protecting our turf and getting land and equipment lined up is probably the best thing to do at this moment. And then I'm going to let John handle the question around the suppliers.
John Hatem: Colby. Listen, we have hundreds of outsourced vendors that we utilize all the time. There is no - I think the key here - there's no change in our operating model across our sites. This is - it's a vendor, and we have lots of them. We have all kinds of relationships. But nothing is changing operationally. No change to how we run the business day to day.
Colby Synesael: Okay. Then did the JLL deal replaced someone else that you had previously? Or is this, I guess, the outsourcing of some of your facilities, a new way in which you're operating those facilities?
Katherine Motlagh: Colby, we don't talk on specific customers. We don't talk on specific venders. So there's no change to our operations, as John pointed out.
Operator: Our next question comes from David Guarino with Green Street.
David Guarino: Dave, you talked about maximizing shareholder value through development. And I wanted to ask you about the San Antonio market, where you just bought some more land. How do you think about underwriting long-term risks of building data centers for a single tenant when that same tenant is already selling at a large scale in that market? And I asked just because I think you're approaching close to 100 megawatts of capacity in that market. And just kind of curious how you think through another tenant who could backfill that space, if that was ever needed.
Katherine Motlagh: So David, it's Katherine. Maybe I'll take that since underwriting is - kind of falls under my umbrella. When we underwrite deals, we look at stabilized development yields. We do not differentiate single-tenant versus multi-tenant. Our intent on a campus-based scale, and we offer capacity to tenants when they're interested at the right prices. So I don't think there is a difference between underwriting one versus the other. We have had great experience and a lot of success in San Antonio market. So we continue expanding there because there is demand in that market for us, and we've done really well there.
David Ferdman: And we have hyperscale and enterprise demand in San Antonio. It's a fantastic market, and we're excited to continue to expand there.
David Guarino: Yes. And then maybe sticking on the hyperscalers. A number of them have announced their intentions to reduce the environmental impact they have from data centers. Can you maybe talk about conversations you've had with those tenants about what they might want to replace to achieve their green goals? And then ultimately, who bears those costs? Is that CyrusOne who's is going to foot the cost? Or is that passed on to the tenant?
John Hatem: David, I mean, we're in constant conversations with these customers, as you could imagine, around all components of the data center, any environmental impact of the data center or footprint. So I mean, that's green energy purchases. That's looking at solutions to replace diesel generators. So all of those things will - they will come to fruition because the market is going to demand it does. And the cost of that will get reflected in our rates, and we're working to maintain our yields with our hyperscale customers. If they're going to pay more for power, which - in some cases, green power cost more, they're willing to pay for it, that's their corporate initiative, and we're here to help them get there.
Operator: Our next question comes from Jordan Sadler with KeyBanc Capital Markets.
Jordan Sadler: I just wanted one more clarification on the CEO search. Did you hire an executive search firm?
Katherine Motlagh: It's a Board decision. Jordan, it's a Board decision. It's not the management decision.
Jordan Sadler: Right. So has the Board hired an executive search firm?
David Ferdman: So we have many, many relationships with advisers, and we do not comment on the particulars. I can tell you it's an ongoing process. And I'm very confident the Board will make the best decision. And I think that's all we can say about the CEO search.
Jordan Sadler: Well, can you speak the process a little bit? You said it's an ongoing process. Can you maybe describe what's going on, number of parties involved?
David Ferdman: I think it's a traditional search. There's a committee of the Board or a group on the Board that's working on it. My focus is on execution. We've got some significant objectives. And my focus is on day-to-day execution, and there's a committee of the Board working on that. So we simply - I can tell you it's an ongoing process, and I think it's a pretty traditional process.
Jordan Sadler: Okay. And then on the asset recycling, I want to circle back there. You did touch on gateway markets a number of times in the strategic priority. And then, of course, this quarter, you bought this 6 acres in San Antonio. I'm just kind of curious, maybe if you can characterize a little bit for us what you guys view to be gateway markets versus asset recycling markets or opportunities?
Katherine Motlagh: Yes, Jordan. So let me take that. First of all, our recycling initiative that we announced earlier in the summer is aimed at optimizing our portfolio. So you're absolutely correct, we're looking at and focusing on our key gateway markets, which what we look for is diversified demand. We look at high-growth areas where we see opportunities for us to expand on our current footprint as well as expand on it profitably. And in terms of San Antonio, that's more of an extension of our existing footprint, not necessarily entering or expanding a different market. So we're just meeting the demand in that market right now.
John Hatem: Yes, Jordan, to add to that, the diversified - I mean, that's what we're looking for, right, diversified demands in a digital gateway market. And it's demand hyperscale and enterprise at scale, right? It's not just limited to one customer. And I think that's the point about how we classify these digital gateway markets.
Jordan Sadler: Okay. That makes sense. And then one clarification for you. David, you mentioned - I think, I heard an 89% of your like-for-like renewals were - or of your renewal pool were like-for-like, and I thought that was interesting. Can you guys quantify the volume of renewals in the quarter in terms of dollar value, so like the like-for-like renewals?
David Ferdman: Yes, Jordan, I don't have that in front of me. What I can tell you is that - well, I'll tell you what I do have. That 89% are like-for-like just this past quarter. I'm talking this quarter. And we'll continue to report on this as it happens, and we can get you some data. And I can tell you, we're traditionally, these are almost all enterprise, so enterprise at scale. And they're across most of our large markets, there's even a couple of legacy markets that we got some really good renewals. And they're only 3% cash roll down in an over 1% GAAP uptick. And so we can get you that quantified data, but I don't have that at my fingertips.
Operator: Our next question comes from Eric Luebchow with Wells Fargo.
Eric Luebchow: So sorry to keep hammering the renewal question. Just curious, at your Analyst Day, you talked about how your renewals through 2024 may be weighted a little more heavily towards enterprise. So I would presume those have slightly more favorable mark-to-markets versus hyperscale. So maybe you could talk about hyperscale expirations for the next few years. And any kind of ballpark on where you think those mark-to-markets are today? And related to that, you mentioned that, that 18% to 22% cash decline was relative to spot rates in the market. But I would presume that when you're doing a renewal, you have more leverage to get a premium to market prices, given the difficulty in moving. So maybe is the presumption that you were being ultra conservative, as I think you mentioned earlier on, that 18% to 22%. And you should come in meaningfully ahead, especially with some of the cost inflation and potential for price increases across the market.
David Ferdman: You bet. I'm going to let Katherine handle the hyperscale question. I will tell you that the renewals are definitely coming in. When we do a renewal, there's significantly less risk, there's significantly less cost and disruption to our customers. So they're paying us, on average, over 30% above the market spot rate on that renewal, okay? And so what that's translating to, at least in this quarter, was a 3% cash churn down instead of the 18% to 22%. So yes, we were pretty conservative. And so as that continues over each quarter, we'll report on that, but this is the data for the quarter. And so yes, we do think there's a shot that our conservatism prevails. Katherine, I'd love for you to answer the question about the hyperscale renewals and when they're coming due.
Katherine Motlagh: Yes. So Eric, I mean today, our revenue is 50-50 between hyperscale and enterprise. But the majority of the renewals that we are seeing in this year are - been all enterprise, as you rightly pointed out. Eventually, half of this revenue that will come up for renewal with hyperscalers. And as we work with them, we'll basically apply the same approach to renewals as we do with our enterprise customers. All customers are facing the same cost of moving, the same data gravity. And the goalpost that we talked about at the Analyst Day of cash-on-cash spreads, it's - when we look at our profile of rates, where they're going to be in the next 3 years, and compare them to today's spot rates, it's not necessarily indicate that the plan is to renew at those rates. It's just establishing the playing field. And what we've experienced is we tend to renew at higher rates than the market rate of the day.
Operator: Our next question comes from Brendan Lynch with Barclays.
Brendan Lynch: Wanted to follow up on capital recycling. And we've seen some transactions recently at pretty low cap rates. And to the extent that you're active on that plan at this point, maybe you could give some commentary on the bidders that you're seeing and the process. And if the pool of potential bidders has expanded beyond what has been seen in past years?
Katherine Motlagh: So Brendan, we just announced the recycling program in June. And we said that we're planning to recycle $1 billion to $2 billion in the next 3 to 4 years. There is not really any progress or any results that we can report at this time. And as we continue on this program and execute on it, then we'll talk about what we're seeing in the market.
Brendan Lynch: Okay. That makes sense. And then, David, you mentioned you're taking a tour around your markets and, presumably, you've had conversations with customers and employees. After kind of reengaging in the business, can you give us an update on your willingness to stay on in the CEO role on a permanent basis?
David Ferdman: So first of all, I had a great tour in Europe and got to meet a lot of our team. I had a fantastic time in Chicago with our enterprise team and some - several of our customers. I've of course, met with lots of customers in Dallas and several other markets. I'm here to let the Board make the best decision they can. And they're looking at all opportunities, and I'm really just focused on executing right now. So I haven't made any decisions regarding anything except for I'm the interim CEO, and we're working on execution. And everything that I see in this company is just incredibly powerful and positive.
Operator: Our next question comes from Michael Rollins with Citi.
Michael Rollins: Just a couple of questions. First, on the - some of the additional items that you provide that are used in your historic presentation of AFFO, curious if you could discuss the deferred revenue line. It was, I think, about $29 million in the quarter, $55 million year-to-date. What's driving that significant year-over-year increase in that deferred revenue? And how is that affecting the GAAP reported revenues for equipment or non-rental revenues? And then secondly, just curious for a balance sheet question. On - if I think back historically, the company management team has talked about the importance of the investment-grade debt ratings and maintaining an IG credit balance sheet. I'm just curious, how important is that going forward as you look at capital opportunities? And are there any updates in terms of your expectations to use equity or ATM to continue to fund development?
Katherine Motlagh: Michael, it's Katherine. On deferred revenue, so it is related to the equipment sales, and it is lumpy. So in the past, historically, we used to sell equipment to the customers so they would take the title of that equipment and it would be a onetime equipment sales. What we have been really doing recently this year is where we retain the title on the equipment. And so the equipment sales, while they pay for it upfront, they're part of the leasing stream. So you would see that in the GAAP reporting in a straight-line basis. In terms of your second question, in our balance sheet, we are very proud and I'm very pleased with our balance sheet. It's very strong balance sheet with over $2 billion in liquidity. So investment-grade rating does help with that. We do have $303 million of available forward equity as we close third quarter, and we look for that equity to fund our development pipeline. Typically, the way we think about our equity raises is to match them against our development and opportunities to build our leasing and commencements. And so as long as we stay within the leverage parameters, which is mid- to high 5s, we supplement that with our equity. Now we also, as we've mentioned in the Investor Day, we launched the recycling program with a purpose of twofold: One is optimize the portfolio. But the second part of this program is supplement our equity raises. So we balance the 2, if and when we need the capital.
Michael Rollins: Just to follow up on your comments regarding the deferred revenue, what's the margin that you would typically get on those equipment sales? And then what's the amortization period for that straight line? And is that causing that - some of that inflation in the margins? Because presumably that - the cost of that equipment's in depreciation and not as a cash operating expense.
Katherine Motlagh: So in terms of margin, it's not that material margin. It's not the same margin we do in our core operations, so I wouldn't be focused on margin. The reason we do this for our customers is also value-add, and it is for the duration of the lease terms. So it's straight lined over the lease term of that specific deployment.
Operator: Our next question comes from Nick Del Deo with MoffettNathanson.
Nick Del Deo: First, you obviously feel pretty good about your supply chain. If you were to disaggregate the different components, are there any links that you'd say you're keeping a closer eye on than others? Or do you feel like it's pretty consistent across the board in terms of what the risks are and how you're protected? And then second, I think earlier this year, you landed a number of on-ramps from Google. I was wondering if you've had any positive enterprise leasing impacts or positive conversations with your customers as a result of those, or if it's too soon to say.
John Hatem: Yes. Nick, on the supply chain side, so we talked about it in the deck a little bit. But we've expanded our kind of supply chain base to literally, in some cases, 3 or 4 providers of that equipment to diversify kind of some of that risk. And we've been focused on this for the past 4 quarters, really, because we kind of saw some of this coming in our conversations with them. But I mean, I think - we think about all pieces and parts kind of in that OFCI equipment list that we can't deliver the data center without any single piece. So we're kind of focused on all of it. Nothing like sticks out that says, like, this seems to not be a worry or we're really concerned about this. It's been kind of across-the-board focused to make sure that we have enough to meet the demand, and really, the demand and the time lines of the customers.
David Ferdman: On the on-ramp, look, whenever you have a native cloud on-ramp, it's good. It attracts the enterprise, especially. And where we've deployed them, we've seen more data gravity. And so every time you can secure a native cloud on-ramp, that's a good thing for the asset.
Operator: Our next question comes from Irvin Liu with Evercore ISI.
Irvin Liu: Hopefully, this wasn't already addressed. But from a supply chain perspective, it looks like you were able to mitigate the impacts on your end. But could you comment on whether there's potential for supply constraints to impact deployments for your customers in the event that they're unable to procure supply that they need?
John Hatem: Irvin, yes, I mean, we talk to our customers all the time. I mean they - in our conversations with our big enterprise at scale customers and our hyperscale customers, they're really doing the same thing we're doing on kind of prepurchasing chips and the things that they need to run their business. So we haven't had any kind of anybody say, like, listen, we're not taking the capacity because we don't have chips. The industry is super focused on it across the board, on all layers of the data center. And the demands that we see is obviously the same demand that they're seeing on their businesses. So it's top of mind, but nothing has changed any in kind of our delivery time lines. And our early commencements that we reported this quarter kind of speak to that. Everybody is focused on it, and everybody is still focused on executing on the business.
Irvin Liu: Got it. Got it. And then it looks like Europe continues to be a good source of growth for you. But I'm trying to better understand if your strength here is more reflective or more of a function of the underlying data gravity trends in Europe. Or is it more of a function of traditionally hyperscalers having - or being under-indexed in Europe from a data center perspective?
David Ferdman: Look, we have focused on just key markets in Europe, right? So - and we've been able to get really nice scale in the markets and the campuses we have. And so for us, when a customer can continuously grow on the same campus, you've just got a better position than if you're in another part of town or not on the same campus. So we're seeing the growth, because I think coming into Europe, which we did just a couple of years ago, we were able to focus on scale and data gravity. I can't really tell you what's driving the hyperscalers up - exactly what's driving their demand, but I do know that there is significant demand in the markets that we happen to be in. And the conversations we're having with these hyperscalers, like John said earlier, they're not conversations about the next 12 to 24 months. We're having conversations about the next many, many years. And so - and the conversations we're having are around our key markets. And so we expect that to continue.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to David Ferdman for any closing remarks.
David Ferdman: Thank you, Anthony, and everyone, for participating on the call. Before we go, I'd like to reiterate how excited we are about the industry and about the consistent execution of the company. We remain well positioned to meet the needs of our customers, and our team is focused on delivering solutions in both the U.S. and Europe. We look forward to talking with you on the next earnings call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.